Duncan Hughes: [Call Starts Abruptly] September Quarterly Analyst Call. It's now been a full year since we declared commercial production at Gruyere. In the year since commercial production, Gruyere has produced over 257,000 ounces, and what has been a very successful operation startup. Gold Road has been able to grow a strong balance sheet and liquidity position as we paid down all our debt and build out cash and equivalents balance in excess of $100 million. We also announced the dividend policy in September, and continued progress on our push to make another meaningful discovery at Yamarna. My name is Duncan Hughes. I'm Manager of Investor Relations and Corporate Development. In the presentation today, we will be referring to the quarterly analysts call slides that can be viewed on the live webcast and also on our website. Our Quarterly Activities Report has been released on the ASX platform and can also be viewed on our website. With me on the call today I have Duncan Gibbs, Managing Director and CEO; Justin Osborne, Executive Director, Discovery and Growth; and Tony Muir, our GM of Finance.  I'll now hand over to Duncan Gibbs to talk through our production and corporate results.
Duncan Gibbs: Thanks, Duncan, and thanks to everybody for joining us. If I can start with Slide 3, which summarizes key highlights for the quarter. We produced 55,919 ounces at Gruyere, 100% basis, with Gold Road's attributable all-in sustaining cost of $1,488 an ounce for the quarter. As guided, the costs for the quarter were higher associated with weak production as the operation transitioned into fresh rock. We also had increased waste stripping associated with the planned mobilization of the second mining fleet, which operated for most of the quarter. Happily the production was achieved without a single lost time injury. The quarter saw us pay down our remaining debt position and build a healthy cash and equivalents balance of $103 million. In September, we announced the dividend policy and subject to board discussion we’d expect to declare a maiden half year dividend with our 2020 annual results early next year. We continue to make solid progress as we look to make a meaningful discovery in the Southern project here at Yamarna. We took what we saw was a promising opportunity in debt markets to extend our debt facilities to $250 million with an additional four year $150 million second tranche around RCF. If I can move on to Slide 4 and outline the key numbers on the key points sitting behind our results. Starting with mining, total mining material movement in September quarter increased from 5.7 million tons to 7.5 million tons and reflects the mobilization of the second mining fleet, which operated for most of the quarter. The strip ratio increased a little above the life-of-mine average, which is at 3.7. All mining was predominantly from the fresh rock site 1 pit where there is minimal operating waste movement currently required, resulting in capitalized waste movement being predominantly from a Stage 2 pit. That increase in capitalized waste movement contributes to the increased capital costs per ounce quarter-on-quarter. Mining of ore tons dropped quarter-on-quarter to 1.9 million ton volumes for the new throughput rate achieved through the quarter. Unit mining costs are generally in line with our estimate, essentially unchanged quarter-on-quarter. Mine grades of 1.03 grams were in line with our reserve expectations from the Stage 1 pit area. Stockpiles at the end of the quarter remained a healthy 3.2 million tons at 0.7 grams, probably of oxide material, presenting all mines in the early stages of the operation. Processing, ore tons processed were 1.9 million tons reduced quarter-on-quarter as ore pricing transitioned into fresh rock ore. The head grade of 1.03 grams aligned to the mine grade. Gold recovery was 91.5% and dropped a little quarter-on-quarter as we mined fresh ore. Recoveries were marginally above ASX test work. However, it's too early to call whether we'll see fresh rock recoveries on an ongoing basis. Performance of the plant can be considered as a quarter too hard. Early in the quarter, we had throughput constraints in the segment when we started to process 100% fresh rock ore.  With the lowest throughput we made a decision to take the mill offline for a couple of days to do some reconfiguration to the sac mill that involve changes to the discharge grades and screens on the sac mill and the circuit throughput improved subsequent to those changes. As announced on the 24 of September, production was interrupted for seven days later in the quarter, following a formal motor bearing failure. The bearing failure occurred following a restart of the processing facility after scheduled maintenance. The ball mill is now fully operational and no further issues are anticipated. Our program of mine to mill optimization commenced late in the quarter with trials on higher intensity blasting of fresh rock ore and blending of fresh and oxide ore, demonstrating increased throughput rates, which we see on the early stage results as very encouraging. Implementation of these mine to mill optimization practices, design upgrades for pebble crushing circuit and milling circuit process automation through enhanced plant performance will be progressed over the coming six months. Process costs and general and administrative costs per ounce increased quarter-on-quarter as a result of the lower production and increased maintenance costs, probably offset by lower reagent costs. We have set the maintenance costs to come down at a time. During the quarter, we sold 31,480 ounces of gold at an average price of $2,420 per ounce. Despite the lower production this quarter, gold sales included the sale of Gold doré and bullion held as inventory at the end of the June quarter with 1,811 ounces of doré held at quarter end. Approximately 25% of our gold sales were delivered in hedge group – hedge contracts. And this will be the trend until November 2022. During the quarter, Gold Road reported strong free cash flow of $48.7 million. This free cash flow represents underlying cash flow of $22.2 million as well as a one-off $26.5 million realized from the sale of listed investments, realizing a pre-tax profit of approximately $17 million. At corporate all-in costs, which are generally one of the lowest in the sector was higher in this quarter as a result of the higher all-in sustaining costs. If I can move on to Slide 5, this slide essentially summarizes in dot points, things that I've just spoken to. Sorry, Slide 5 please, sorry, Slide 6. To summarize, next side of the quarter, we face some headwinds, but overall the quarter saw an improving trend. 2020 annual guidance remains at 250,000 to 270,000 ounces on a 100% basis. And our all-in sustaining costs guidance remains within the revised range of $1,250 to $1,350 per ounce. As a consequence, you can see that we're anticipating that December quarter will be higher production and lower costs in the September quarter, as some of the improvements that affected over the last quarter flowed through into forward production. The focus on optimizing throughput inefficiencies in the quarter, work continues on the 2 million ounce project indicated resources that exists below the current reserve shell, which were put together at $1,600 per ounce and working to convert that into the reserve. Happily Gruyere continues to experience no material impacts from COVID-19. And I'd like to thank Gruyere employees, contractors and supply, and both the local community, where they continued due diligence, excellence performance, and support to work during this difficult time. Western Australia has reported no community transmissions of COVID since April 11, and the risk, well, the risk of a second wave of community transmissions remains, and it could evolve quite rapidly as we've seen elsewhere. Gold Road and Gruyere have contingency plans in place if they may arrive. We can move on to Slide 6. Financially, the business continues to get stronger, thanks to the free – good free cash flow generation from Gruyere. We are now debt free having repaid the remaining $25 million debt on the 25th of July 2020. And then we now have cash and equivalents of over $100 million net cash on our balance sheet with strong liquidity buffer. Our hedge position sees us delivering 20% to 25% of our production into hedges between now and November 2022. The breakdown of the hedge book is provided in the four-point report. During the quarter, we finalized the second tranche of our debt facility. Our RCF now sits at a total of $250 million and is fully undrawn. We considered there was a promising opportunity to upscale our RCF, an extended tenure with a second tranche, which has a four-year term. The cash flow waterfall summarizes the movements in cash and equivalents over the quarter. And I will let you review this a little bit later. Coming to the strong performance of the business and the tie-down of all debts in July, we were able to announce a dividend policy in September. As announced on the 16th of September, the policy will target annual aggregate dividend payout of 15% to 30% of free cash flow for each calendar year. It will be paid in two half yearly payments. This is subject to retaining a minimum cash balance of $100 million after the payments of any dividends, of course subject to Board discretion. We have $66 million of franking credits and anticipate the maiden fully franked dividend to be declared for the six-month period ending the December 31, 2020. It is worth commenting that Gold Road again to return income to shareholders that our key strategic focus remains on growth. We believe this is the best value for our shareholders. We made for making a significantly discovery while we may consider the options of value accretive of development. I will now hand over to Justin Osborne to update you on the exploration progress at Yamarna and our Yandina joint venture in the Southwest result.
Justin Osborne: We can move to Slide 8, please. Thanks, Duncan, and thank you all for joining us on the call today. It’s quite a sort of solid progress at Yamarna are on 100% tenement. To make a meaningful discovery that can support a standalone operation for Gold Road on this Yamarna tenement holding, the best opportunity we believe continues to be on our southern project area, where we spent most of our exploration activity and funding this year. The spotlight shows we have a defined area of interest that we believe hosts all the right ingredients for a major discovery. So usually, we get the scale of the project. This box highlighted on the map here matches almost 800 square kilometers of interest, which up until now has received very little exploration focus. Put that into context 800 square kilometers is about the size of the Cygnus landholding, which has been explored for over 40 years by WMC and Gold Fields and delivered over a 20 million ounces of gold and diamond. And we are hoping to identify high levels in diamond in the same field. This area has the right geology with complex folding and faulting cut by second and third order space off the main Yamarna Shear Zone. The rock types are favorable with [indiscernible] presence and the areas overlain by a relatively shallow depth of cover, somewhere between 15 to 35 metres on average. Currently have five rigs operating in Yamarna, that is two diamond rigs, two aircore rigs and one RC rig out in the field right as we speak. Our space in activities this quarter have been largely focused on aircore programs, some complimentary diamond stratigraphic drilling targeting our highest ranked targets in the Southern Project Area. Projects of interest include Savoie, Beefwood, where we have large 15 kilometer long regolith anomalism, which has been defined by first pass aircore drilling and we've concluded our first pass programs are the best as targets just recently. Multiple anomalies have also been defined at Hirono that they'd further follow up and we've got aircore off running right now in filling those. The first diamond hole drilled at the Kingston project following up with aircore anomalism return to intersection of a metre at 10.4 gram per ton within a 7 meter wide shear zone and quartz to a major fault nodes intersected by the Smokebush shear and this Kingston target is one of our primary targets going forward into 2021. Two additional holes, diamond holes Gilmour in the June quarter and SI returns this quarter, which included 4 metres at 17 gram per ton from 244 metres and 6.8 metres at 5.3 gram per ton from 229 metres. These were two diamonds out to the north of the existing resource and show the potential for the exhaust to extend further. This December quarter we'll see further drilling at Gilmour and we've got assay drilling ongoing at the moment looking to expand the resource to the north. That’ll be followed by further resource – potential resource drilling on some other targets. We’re also looking to test for additional shoot at depth below the current resource at Gilmour, the diamond drilling plan for this quarter. We’ll also see follow-up work at Hirono and Kingston, saw some RC down at Smokebush. This new geological model of this prospect which was discovered three or four years ago. Moving on to Yandina Project, which is a joint venture with Cygnus in the south west – the West Australia. We now hold almost 90% of those two joint ventures at Lake Grace and Yandina. We took management of the project in October. And during the quarter RC assay results from RC drilling at the Gunsmoke prospect were returned. This result included 8 meters at 1 gram from 35 meters and 2-meters at 2.1 grams from 107 meters. These results are intersected in felsic rocks, potentially [indiscernible] within ultramafic style rocks. We have a number of other anomalies that we will follow up with us for a diamond drilling and aircore drilling in this quarter. Gold mineralization intervals occur within wide zones of anomalism follow up drilling, so as gravity surveys will be completed going into next year as well. I’ll be happy to answer any additional questions later in the call. And I’ll hand back to Duncan Gibbs now. Thank you.
Duncan Gibbs: Thanks, Justin. Slide 9 closes our presentation with a summary of how we believe we currently deliver and will continue to deliver shareholder value. Gold Road is a strong business with a strong and growing balance sheet. This is underpinned by a long and robust mine lines at low cost production for at least another 11 years. We see considerable opportunities to grow from here, as we optimize Gruyere continue to explore and look for growth opportunities. With the healthy track record of shareholder returns and we would expect this to continue, and this now includes a dividend policy. That brings our results presentation to a close. We're now very happy to answer any questions and I'll hand back to the operator for any question.
Operator: Thank you. [Operator Instructions] Our first question is from the line of Levi Spry of JP Morgan. Please go ahead. Your line is open. Levi, your phone maybe on mute, if I can ask you please to unmute the line.
Levi Spry: Got it. Thanks, guys. Thanks, Duncan, and thanks for the call. A couple of questions please. Firstly, on material movements and the second fleet, so is that fully ramped up now? Can you sort of talk us through what happens there over the next – over this quarter and the course of 2021?
Duncan Gibbs: Yes. So the second fleet is now fully operational, pretty much was that way from early in the quarter. So the type of volumes you're seeing now moved really what you can expect into future quarters.
Levi Spry: Okay. So we’re already there. And can you may be just remind me on the timing of the work to convert some of the resources below the bottom the Beefwood reserves. Can you just step us through that process again?
Duncan Gibbs: Look, they work remaining; we’ve essentially done all the drilling of course in 2019. we’ve completed some metallurgical drilling and geotechnical drilling. there’s still some work to be done off both of those bits of data sets. Another key piece really from geotechnical data is metal from the fresh rock, it’s –we’re looking to get a bit more exposure on fresh rock and in part from also the Stage II mining area and we’re starting to move pressure material particularly down the southern end of the pit. Probably, see that the data collection and studies flowing through to about the end of March and then for my arrows to get into the mine design and work to convert that through ultimately into reserves. So, we’ll be looking at second half of next year, maybe early, even early into 2022. By the time, we actually get all of that report out. Important that we get the geo-tech side of things, right, in particular, because we’re potentially talking about pit that goes down, generally in excess of 450 meters by surface, which would make it one of the deeper, concrete gold mines in Western Australia.
Levi Spry: Yes. that was excellent. Thank you. And so just in that context, the next update come so based on the end of December, there won’t be – there’s nothing that you can pull out there in particular in the material.
Duncan Gibbs: So, the resource reserve reporting, only the way to an update, of course, that goes into annual reporting. So, you’ll see that with the annual report. We’d expect that to the current pit design, obviously, with depletion. Resource reporting, I guess we’re debating about whether currently in a $18.50 shell is appropriate, particularly as many others in the market are reporting at higher gold prices on that. We also need to be consistent with industry as a whole for the most with. On the [indiscernible] we’re doing a bit of work at the moment just on revising some of the resources and reverbs out of the Golden highway train, that I wouldn’t anticipate significant change in routing in those resource reserve areas.
Levi Spry: Great. Thank you. Thanks, Duncan.
Operator: [Operator Instructions] Okay, we have a question from the line of Paul Kaner at RBC. Please go ahead. Your line is open.
Paul Kaner: Yes. thanks. Hi, gents. Could you maybe, just quickly outline how you sort of see your utilization rates improving going forward in the near-term?
Duncan Gibbs: Yes. obviously, this quarter, we’ve had a couple of detractors. One is, as I’ve indicated, we made the decision to take the sack mill down and do some reconfiguration of it and that gave us a fruitful benefit. So certainly, it was the right decision of its own. And then we’ve had the unexpected event with the motor bearing failure. I think without those we would have been basically, in the low 90% utilization rates, which certainly addressed a lot of the issues that we saw in previous quarters. So, I’d expect the next quarter or so to be kind of in that low-90s. We’ve identified, we mentioned that in the quarterly. We think there’s a bit of work we need to be done in pebble crusher, that’s to improve the operability and reliability of that part of the circuit. And effectively, the linked maintenance requirements on pebble crusher from the mine milling circuit, which means if we’ve got to do any work on that the SAG mills and Ball mill can keep operating. And ultimately we see the game plan is to get us up to what we see is good industry benchmarks around the 94%, 95% utilization getting the last few percent of course, is hard work. So it's not going to happen instantly. But I'd say that the journey over the next year or so.
Paul Kaner: Yes, great. Thanks.
Operator: Okay. Our next question is from the line of Tim McCormack of Canaccord Genuity. Please go ahead, Tim. Your line is now open.
Tim McCormack: Good morning guys. Thinking about the DFS all in sustaining cost profile outline there that’s in 2025, are we in reality ever going to say that or we're going to say that the pit show optimization has changed? And if we are going to say a quick is the step down are going to be from the sort of $1,250-ish that you're tracking on there.
Duncan Gibbs: Yes. So of course, the DFS numbers were put out in 2016. So you've really got to be adding estimation for that period, typically taking that kind of 2% range or on a base of about $1,000. It's about $50 a year. So, the first point I'd make is you've got to index that cost base forward. I think if you do that, we're not far off that run rate obviously, the last quarter. We felt disappointing as well as based on the lot of production, but I mean, the outlook going forward, we don't see a fundamental change to what was delivered at of the DFS. I guess the second part of the question therewas really around extension of mine life and deeper pits. I mean, what we're trying to push there is, if we can get the throughput efficiency of the milling circuit up that would help to reduce costs and we think there's some opportunities, which is thought of while we're taking our time with pit design you can check to steepen up the pit walls. If we can successfully put those together, then the life of mine, it is to get deeper without it simply being chasing higher cost ounces it delivers at a similar life of mine all in sustaining costs.
Tim McCormack: Yes, cool. That makes sense. And just on the payout ratios of 16% to 25%, how you arrived at that number or that range?
Duncan Gibbs: No, look at that had quite a bit of discussion around the board of 15% to 30% of free cash flow. We thought that was quite prudent to where the business is at the moment. And certainly in line with a lot of other gold mining businesses are doing. Obviously, if we were to accumulate significant in cash, then we can obviously look at other mechanisms or changes to that policy in due course, but certainly for where the businesses at the moment we felt that was appropriate guidance to the market.
Tim McCormack: Okay. Thanks guys for talking to me.
Operator: At this stage, there are no further questions in the queue. So can I please pass it back to you for any closing comments at this stage?
Duncan Gibbs: Thank you. So that brings us close to our quarterly results call. We thank you for your continued interest and support. We now look forward to a stronger fourth quarter production, continued strong cash generation and exploration progress. Thank you.
Operator: This now concludes today's call. So thank you all very much for attending. And you can now disconnect your lines.